Operator: Good morning, ladies and gentlemen, and thank you for standing by for Dada's Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management's prepared remarks, there will be a question-and-answer session. As a reminder, today's conference call is being recorded. I would now like to turn the meeting over to your host for today's call, Ms. [Iris Lu,] from Investor Relations for Dada. Please proceed, Iris.
Unidentified Company Representative: Thank you, operator. Hello, everyone, and welcome for joining our third quarter 2024 earnings conference call. On the call today from Dada, we have Mr. Henry Jun Mao, CFO. Mr. Mao will talk about our operations, company highlights and the financials. He will be available to answer your questions during the Q&A session. Before we begin, I'd like to remind you that this conference call contains forward-looking statements. Please refer to our latest Safe Harbor statement in the earnings press release on our IR website which applies to this call. Also, during this call, we will discuss certain non-GAAP financial measures. Please also refer to our earnings press release which contains a reconciliation of non-GAAP measures to the comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. It is now my pleasure to introduce our CFO, Mr. Mao. Mr. Mao, please go ahead.
Henry Jun Mao: Thank you, Iris, and thank you all for joining us. In the third quarter of 2024, our high-quality growth accelerated further. For JD NOW, year-on-year growth in monthly transacting users and orders through the JD App continued strong momentum, increasing by over 100% this quarter. JD NOW continued to engage with more high-quality JD users and its penetration rate among JD users continue to increase sequentially quarter-over-quarter. For Dada NOW, net revenues registered 46% year-on-year growth for the first nine months of the year. We continue to optimize our overall operating efficiency with non-GAAP loss margin once again, narrowed on a sequential basis in the third quarter. Dada Group's total net revenues in the third quarter were RMB2.4 billion. Net revenues from JD NOW were RMB930 million. Net revenues from Dada NOW increased by 39% year-on-year to RMB1.5 billion as we consistently strengthened partnerships with our chain merchants and further enhance delivery service quality. Non-GAAP net loss in third quarter was RMB59 million. Non-GAAP net loss ratio was 2.4%, narrowing by 3.7 percentage points compared to the previous quarter, primarily due to the sequentially improved cost efficiency as well as optimized consumer subsidy efficiency. Now let's turn to the operating highlights for our two platforms, JD NOW and Dada NOW. Starting with the JD NOW first. In the third quarter, we remain focused on driving the growth of JD NOW on the JD App, strengthening user mindshare, and consistently enrich our offerings to better meet users' diverse needs in on-demand retail. We continue to provide quality products and instant delivery to more and more JD users. And fueled by customer experience optimization, users repurchase rates also registered remarkable growth sequentially. It is worth noting that during the Double 11 shopping festival, JD NOW peak-day online order volume reached a new-high. On the demand side, following the launch of the new JD NOW section and the JD NOW tab on the JD App homepage in this May, we gradually expanded the service coverage of JD NOW to more cities nationwide, providing more users with the convenient JD NOW on-demand retail services with quality products and instant delivery right to their doorstep. With the enhancement of location-based service capabilities, we have recently launched JD NOW brand flagship stores joined hands with more than 100 renowned brands from categories, including food and beverages, personal care, consumer electronics, and more. This initiative connects brands and retailers directly with the most relevant customers, delivering authentic products to consumer's doorstep as fast as nine minutes. Leveraging JD's superior technology-driven supply chain capabilities. JD NOW brand flagship stores emphasize brand value proposition and foster local user engagement to attract user traffic for online and offline retailers, boosting marketing effectiveness for brand owners. During this quarter, the number of cost-category visits by users in the JD NOW section on the JD App continue to increase sequentially as our category expansion for diversified choices to consumers, further accelerating the year-on-year growth rate of orders placed through the JD App channel. In the meanwhile, we introduced exclusive benefits such as price discounts and coupons for JD PLUS members to attract them to experience JD NOW's convenient on-demand retail services and capture their mindshare. The daily average transacting PLUS members for JD NOW continued its growth momentum in the third quarter, increasing notably by more than 50% quarter-over-quarter. On the supply side, we continue to work on forefront to comprehensively enhance our supply capabilities. In terms of store coverage, we continue to enrich our product offerings in existing categories such as supermarkets, convenience stores, and consumer electronics. As of the end of September this year, the number of operating stores increased by over 70% year-on-year to more than 600,000 stores. In the supermarket category, JD NOW deepened its collaboration with major supermarket chains with average daily delivery order volumes continuing to grow during the quarter. In the convenience store category, we launched over 1,000 stores of internationally renowned brand Lawson in July. We also deepened collaboration with other leading domestic convenience store brands in terms of store counts. The product offerings from convenience stores ran well with our on-demand retail consumers. In the third quarter, the average daily delivery order volume in the convenience store category increased by more than 50% year-over-year. In the consumer electronics category, we deepened our corporation with existing brands and merchants. During the launch of new mobile phone models, we leveraged over 10,000 store coverage and provided the users with instant delivery service for new phones in as fast as nine minutes. On the date of the release of Apple iPhone 16 series, sales increased by double digits compared with the same period last year when the iPhone 15 series were released. Xiaomi, Huawei, and other mobile phone brands also experienced remarkable year-on-year growth in the quarter. Additionally, we also made progress in our essential accessories category to better address users' immediate needs. Year-to-date, we have added thousands of stores of brands such as Python and UGREEN. We further enhanced price competitiveness. As of the end of September, the proportion of highly priced competitive products increased by 3 percentage points as compared with June this year. We continue to optimize the top rent for [RMB1 section] on the landing page of the JD NOW tab, offering consumers various value-for-money products priced as low as RMB1. In terms of inventory, we continue to expand more offerings in the supermarket brand promotion section, carefully selecting the flagship SKUs of the top supermarkets with differentiated price advantages and providing users with attractive and diverse section of products. On the accounting side, we further enriched product information and enhanced product attractiveness. In the third quarter, to further facilitate the purchase decision-making process, we enriched product information for merchants, listing the JD NOW tab, including product description as well as applicable discounts and coupons. As a result, our click-through rate increased by 2 percentage points and our conversion rate increased by 5 percentage points sequentially, a clear sign that enriching product information improves customer experience and enhance its product appeal. Furthermore, we believe that providing most cost-effective services are key to winning more users and meeting the demand-driven nature of on-demand retail. As reported earlier, we lowered the delivery fee waiver threshold to RMB29 at the end of this February. This initiative effectively enhanced user experience and strengthened user mindshare, contributing to the continued growth momentum in JD NOW's order volume through the JD App over the past few quarters. Additionally, we endeavor to provide users with shorter and more accurate estimated delivery time on the payment page through optimized algorithms and further accelerated the fulfillment process. The average fulfillment time for JD NOW orders this quarter was shortened by more than 20% year-over-year. As a result of the above measures, the penetration of JD NOW among JD users continued to increase quarter-over-quarter. User mindshare was further enhanced and the supply density and quality continues to improve, resulting in sequentially accelerated order volume growth in the third quarter. In terms of user scale, as the user mindshare of on-demand retail through the JD App continued to increase, both our click-through rate and transaction conversion rates through the JD App increased in the third quarter, resulting in our overall user conversion rates more than doubling on a sequential basis. JD NOW continued its strong growth momentum in average monthly transacting users on the JD App growing by more than 100% year-over-year, with high-frequency users growing even faster. The number of high-frequency users through the JD App more than doubled in this quarter. In terms of user stickiness, our 30-day repeat purchase rate of users of the JD NOW section on the JD App experienced a significant increase from the previous quarter with a repeat rate of new and existing customers both growing. Additionally, we continue to improve user satisfaction in the quarter, demonstrated by a decrease in cost per order by over 10% year-on-year, also continually optimized sequentially. On the supply side, we remain committed to expand product categories and store coverage. We believe that our quality for supply enrichment strategy will lay a solid foundation for our mindshare gains in the long-term. The daily average JD NOW orders through the JD App continued to grow by over 100% year-on-year, accelerating further from the previous quarter. This was mainly [indiscernible] the growing user base, strengthened user mindshare and continuous improvement in our service quality. Next, I would like to turn to Dada NOW, our local on-demand retail and delivery platform. In the third quarter, Dada NOW continued to grow rapidly. Net revenues from Dada NOW increased by 39% year-on-year to RMB1.1 billion, driven by our strengthened partnerships with chain merchants and further enhanced delivery service quality. In the third quarter, driven by significant growth in the number of stores, our key accounts or chain merchant business saw overall revenue growth north of 30% year-on-year with net revenues of restaurants and beverage KAs growing more than 100% year-on-year and over 40% quarter-over-quarter. When we reported our earnings for the second quarter this year, we disclosed the number of orders delivered and gross billings of our on-demand delivery business for the first time. In the third quarter, the number of orders delivered by Dada NOW increased by 36% year-on-year to RMB648 million and the gross billings of Dada NOW grew by 33% year-on-year to RMB3.1 billion. Meanwhile, we continue to leverage technology to refine operations, optimize delivery routes and dynamically adjust subsidy to further strengthen our price competitiveness and expand market share. This concludes our operational updates for the two platforms. In the third quarter, we continued to strengthen user stickiness by enhancing user mindshare, attracting more high-quality JD users to the JD NOW service, both monthly transacting users and orders through the JD App maintained notably growth year-on-year more than doubling in the quarter. Dada NOW also continued its rapid growth momentum driven by the share gains in merchant business, especially restaurants KAs and order volume growth. Going forward, we will continue to focus and execute on our high-quality growth strategy, improved user experience across the board, enhance our efforts to increase the mindshare of our on-demand retail business and further leverage the synergies between our on-demand retail and on-demand delivery platforms to drive longer-term sustainable growth. With that, I will now go over our financials for this quarter. Before we go over the numbers, just a few housekeeping items. We believe year-on-year comparisons are the most useful way to evaluate our performance. And as a result, all percentage change that I'm going to give will be on a year-over-year basis and all figures are in RMB, unless otherwise noted. Total net revenue in the third quarter was RMB2.4 billion. Net revenues for JD NOW was RMB930 million, mainly due to a decrease in online advertising and marketing services revenues and a decrease in fulfillment services and other revenues as a result of the full rollout of delivery fee waiver program for orders existing RMB29 since February 2024. Net revenues from Dada NOW increased by 39% to RMB1.5 billion, mainly driven by an increase in order volume of intra-city delivery services provided to various chain merchants. For the first nine months of 2024, our net revenues from Dada NOW increased by 46% to RMB4.1 billion. Specifically, revenues from intra-city delivery services and the revenues from last-mile delivery services increased by 45% and 76% in the first nine months of 2024, respectively. Moving over to cost and expense side. Operations and support costs in the third quarter was RMB1.7 billion. The increase was primarily due to an increase in rider cost as a result of increase in order volume of our intra-city delivery services provided to various chain merchants, offset by a decrease in online advertising and marketing service costs. Selling and marketing expenses decreased to RMB717 million, primarily due to a decrease in promotional activities initiated by us on the JD NOW section. General and administrative expenses were RMB108 million. The increase was primarily due to an increase in provision for credit loss and litigation-related expenses. Research and development expenses were RMB90 million this quarter. Non-GAAP net loss was RMB59 million and a non-GAAP net loss margin was 2.4% sequentially narrowing by 3.7 percentage points. This concludes my prepared remarks. Operator, we are now ready to begin the Q&A session. Thank you.
Operator: Thank you. [Operator Instructions] Your first question today comes from Thomas Chong from Jefferies. Please go ahead.
Thomas Chong: [Foreign Language] Hi. Good morning. Thanks, management for taking my question. My question is about the macro and industry landscape. How do we see the recent government support policies and consumer sentiment trends? What are your thoughts about the competitive landscape for the on-demand retail business? Thank you.
Henry Jun Mao: Thank you, Thomas for your question. Well, we definitely believe that boosting consumer confidence is an important growth driver for China's economy. Also, we remain optimistic about the growth prospects of on-demand retail, being one of the fastest growing sub-sectors with China consumption category. Well, in terms of consumer preference, we continue to observe that growing consumer demand for convenience across various categories. We believe that there is significant room for JD NOW's on-demand retail to increase its penetration among JD users. Therefore, we are firmly committed to invest in our business. Our integration with the JD ecosystem still has huge upside and user mindshare is gaining momentum. As you can see for the past quarters to better serve the evolving needs of our users as a platform providing both on-demand retail and delivery services, we are actively enriching high-quality supply across a wide range of categories to product consumers with more choices. As I mentioned earlier, at the end of the September on the number of operating stores increased by over 70% year-on-year to more than 600,000 stores. And also back in this summer during the Paris Olympic Games period jointly with brand owners and local retailers, we further enriched our product offerings echoing user game watching and shopping enthusiasm. For instance, we launched that late night feed channel, providing the nighttime audience with rich selections of snacks and beverages. And I think Dada's unique competitive advantages also lies in the synergies between the JD NOW and the Dada NOW, two platforms. In the first nine months of this year in terms of revenue growth, Dada NOW significantly outperformed the on-demand delivery industry. This primarily is attributable to our share gains in restaurants and beverage KA chain merchant business, contributing as another strong growth engine to our business. So we believe that the two platforms will together fuel the growth in order volume and density, building up economics of scale and improve overall delivery efficiency. So this can be, in turn, shown in the constant enhanced fulfillment service quality of JD NOW and Dada NOW this quarter. The average fulfillment time for JD NOW orders this quarter was shortened by more than 20% on a year-over-year basis, reinforcing our user mindset of quality products at instant delivery. So I would like to summarize that we believe that our competitive edge lies in the continually enriching product offerings on the supply side, the deep integration with JD.com on the demand side and synergistic gains between JD NOW and Dada NOW. So these factors altogether help us to increase our user mindshare, our market share within the on-demand retail and delivery industry as we ride on the industry growth. Hope that answers question.
Thomas Chong: Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from Alicia Yap from Citigroup. Please go ahead.
Alicia Yap: Hi. Thank you, management. I have a couple of questions. First is that can management elaborate a little bit the user profile that you acquired or through the JD channels, given you have already deepened your collaborations recently? So just wondering if you can highlight a little bit what type of user profile that is successfully gather from the JD channel? And then especially, if you see any meaningful uptake in the recent single-stage promotion period from the JD channel. And then overall, if you can also just comment a little bit on whether you have seen some improvement in consumption spending, especially on JD NOW business where if the macros actually drive a little bit of the confidence level in the consumer consumption. So let me translate very quickly. [Foreign Language]
Henry Jun Mao: Thank you, Alicia, for your questions. As we all know, since the beginning of this year, we have continued to execute our strategy of focusing on user experience, fully embracing the JD.com app ecosystem. As we all remember, starting from this May, following our brand upgrade from JDDJ previously to JD NOW, we have further increased touch points with the JD App primarily by launching the JD NOW section on JD App's homepage and adding a parallel tab for JD NOW. So we believe the strategy paves the way for our sustainable growth in the future. Given that the users from JD.com are highly relevant to the on-demand retail consumption scenarios. So they typically have stronger purchasing power, higher demand for quality and timeliness. Therefore, we have been endeavoring to provide quality services to engage more JD users and beyond. In the third quarter of this year, we see a strong trend of improvement in core operational metrics. First step to the enriched product information and optimize operations, we have effectively converted more user traffic with JD.com. The click-through rate of various major JD NOW entry points within the JD App has increased significantly quarter-over-quarter. And as I mentioned earlier in my prepared remarks, our average monthly transacting users and orders through the JD App grew by over 100% year-on-year, continued the strength – the very strong growth momentum. It is also worth noting that the total number of new transacting users of JD NOW has also been growing at an increasing scale quarter-over-quarter, contributing to the continued sequentially increased penetration rate on the broader JD user base. And JD NOW's users repeat purchase rate within the JD App has also been fueled by the enriched product offerings and high-quality services. So the repeat purchase rate of JD NOW consumers through the core JD channel sequentially increased by over 10 percentage points in the third quarter. And our continued efforts in serving the high-quality JD PLUS members have also yield measurable results this quarter. The daily average transacting JD PLUS members for JD NOW continued its continued growth momentum growing by high-double digits quarter-over-quarter. Also, further investment in Dada by JD.com this quarter strongly reflected the unique role that Dada fulfills in on-demand retail and delivery industry within JD.com's broader ecosystem. So well, I think we are very optimistic in the company's long-term growth and development. And one more thing, I think as you may have probably already noticed, we have recently launched the JD NOW brand flagship stores, joined hands with more than 100 renowned brands by offering authentic products deliverable in as fast as nine minutes, emphasizing brand value, engaging consumers through membership, promotional activities and more JD NOW brand flagship stores directly connect the consumption brand with the most relevant nearby on-demand retail consumers. And meanwhile, provides retailers with more exposures. As we further integrate into JD.com, we believe that the brand flagship stores will harness the technology-driven supply chain advantages of JD.com in the longer term, and this enables us to provide our users with the right selection of products and also enables us to holistically allocate resources. I hope that answers question. Thank you.
Operator: Thank you. As there are no further questions at this time, I'll now hand back to Ms. Lu for any closing remarks.
Unidentified Company Representative: Thank you, operator. In closing, on behalf of Dada's management team, we would like to thank you for your participation in today's call. If you require any further information, please feel free to reach out to us directly. Thank you for joining us today. This concludes the call. Thank you.